Operator: Good morning, everyone, and thank you for participating in today's conference call to discuss Reservoir Media's Financial Results for the First Quarter of Fiscal 2024 ended June 30, 2023. [Operator Instructions] I'd like to turn the call over to Ms. Jackie Marcus with the Alpha IR Group, who will review our agenda today and the company's forward-looking statements. Jackie?
Jackie Marcus: Thank you, Justin. Good morning, everyone, and thank you for participating in today's earnings conference call. Reservoir Media issued a press release with results for its first quarter of fiscal 2024 and ended June 30, 2023, earlier this morning. If you did not receive a copy of our earnings press release, you may access it from our Investor Relations section of our website at investors.reservoir-media.com. With me on today's call are Golnar Khosrowshahi, Southern Chief Executive Officer; and Jim Heindlmeyer, Chief Financial Officer. As a reminder, this call is being simultaneously webcast and will be recorded and archived on the Investor Relations section of our website. Before I turn the call over to Golnar and Jim, I'd like to note that today's discussion will contain forward-looking statements that reflect the current views of Reservoir media about our business, financial performance and future events, and as such, involve certain risks and uncertainties. Our expectations, beliefs and projections are expressed in good faith, and we believe there is a reasonable basis for them. However, there can be no assurance that our expectations, beliefs and projections will result or be achieved. Please refer to our earnings press release and our filings with the Securities and Exchange Commission for more information on the specific risk uncertainties and other factors that could cause our actual results to differ materially from our expectations, beliefs and projections described in today's discussion. Any forward-looking statements that we make on this call or in our earnings press release are as of today, and we undertake no obligation to update these statements as a result of new information or future events, except to the extent required by applicable law. In addition to financial results presented in accordance with generally accepted accounting principles, we plan to present during this call certain financial measures that do not conform to U.S. GAAP if we believe they are useful to investors or if we believe they will help investors to better understand our performance or business trends. Reconciliations of these non-GAAP financial measures to the nearest comparable GAAP measures are included in our earnings press release. I would now like to turn the call over to Golnar.
Golnar Khosrowshahi: Thank you, Jackie. Good morning, everyone, and thank you for joining us today to review our results for the first quarter of fiscal 2024. We are off to an exceptional start to the year as we delivered strong growth across both our Music Publishing and Recorded Music businesses. Our continued execution, strong secular tailwinds in the industry, and momentum in digital from streaming services as well as the impact of increased CRB 4 rates drove top line growth of 31% during the quarter. In addition to this revenue growth, we saw adjusted EBITDA margin expansion of over 100 basis points versus the prior year period. This financial performance also reflects our strategy of expanding our roster of creators across genres and geographies. We remain disciplined in our approach to capital deployment, and we will continue to pursue business development opportunities that enhance our roster and are accretive to margins. Before turning the call over to Jim to further discuss our first quarter results, I'd like to talk through some of the drivers of the results in more detail. The strong results we achieved in digital reflect increasing demand trends for streaming music globally, something we saw evidence of in Spotify's higher-than-expected subscriber numbers reported last week. Another reason for our success in digital during the quarter was the adoption of the new CRB 4 rates, starting in calendar 2023, with a headline rate of 15.15% and a meaningful increase from the CRB 2 rates, which applied during the first quarter of last year. Because of this, we have been able to recognize higher revenue associated with mechanical royalties from digital sources. As a note, when comparing year-over-year results, the benefit of the increased CRB 4 rate will be less significant in coming quarters as we recorded revenue using the affirmed CRB 3 rate starting in Q2 of fiscal 2023. Nonetheless, as we have said before, these increases are a step in the right direction of recognizing the value our artist spring to these platforms. We remain confident about the growth trajectory of the global music industry, and how Reservoir is positioned to capitalize on it. We believe that one factor behind our success to date is the exceptional team we have built over the last 16 years. Studies have shown that companies with more diversity have discernibly better success. Reservoir is proud to be meaningfully differentiated from many of our peer companies for our representation of female employees at every level. As disclosed in our ESG report, which we released last week, almost 40% of senior management at Reservoir identify as female. Moreover, we employ 48% of staff overall who identify as female compared with the national rate of 35.3% and reported in a 2021 study conducted by the USC Annenberg inclusion initiatives. Another key takeaway from our ESG report that I wanted to highlight is our employee retention rate with 100% retention at the senior management level and 87% retention overall in the U.S. last fiscal year. Our experienced team, 43% of which have been working in the music industry for over 16 years, fortified the culture that meaningfully differentiates us from our competitors. That culture and the cohesion of our team allows us to deliver exceptional creative services and value enhancement opportunities across our roster and catalog, resulting in our strong organic growth. As a result, when creators choose to call reservoir their home, they also stay with the company, mirroring our high employee retention rate. If you have not yet, I encourage you to take a look at the ESG report or second since becoming a public company. The principles of ESG have been embedded in our culture since inception, and we understand and care about the influence and impact that our employees and roster of creators have on communities around the world. Shifting to the progress we have made against our business development strategy through the first quarter, I wanted to highlight some of the notable talent and catalogs that have recently joined the company. Just a few of these include: Legendary R&B and Pop Vocal Group, The Spinners. Reservoir acquired the catalogs of 4 of the founding members of the spinners, including master royalty streams for Henry Fambro; and the late Billy Henderson, Purvis Jackson and Bobby Smith. Our team's efficient diligence efforts enabled us to execute this deal across 4 rights holders simultaneously and bring these valuable catalogs to Reservoir. We continue our roster expansion in the Middle East with the catalog acquisition and go-forward joint venture with Saudi Arabian hip-hop label, Masri. This deal was done in conjunction with our partner, Pop Arabia and further builds on our emerging market strategy and boosts our presence in the region. Multi-platinum writer producer, Willie Wilens, signed a new publishing deal with Reservoir for his entire catalog and future works. Willie has collaborated with the likes of M&M, Daddy Yankee, Kendrick Lamar, Dominic [ Psych ] and Killer Mike. He is a massive talent and we couldn't be more excited to work together. Consistent with our strategy and approach, we have more business development opportunities that we look forward to executing and sharing with you in the coming quarters. With that, I'd like to turn the call over to Jim to discuss our first quarter numbers in greater detail. Jim?
Jim Heindlmeyer: Thank you, Golnar, and good morning, everyone. Our financial results in the first fiscal quarter demonstrate the strength of our business model and inherent levers embedded in the business to achieve growth. We are pleased with the strong revenue growth year-over-year for both our segments but we are particularly encouraged by our operating leverage in the quarter. Our OIBDA and adjusted EBITDA margin expansion is a testament to the operating leverage that is built into our business. Looking ahead, we expect revenue to outpace operating costs as this has generally been the case during our time as a publicly traded company. Turning to our quarterly results. Revenue for the first fiscal quarter was $31.8 million, a 31% increase versus the prior year quarter. In terms of the components, our top line results in the first quarter were driven by the strong growth in both segments, highlighted by a 37% increase in recorded music year-over-year. Looking at our operating expenses for the quarter. Our overall cost of revenue increased 35% versus the prior year quarter. Our amortization and depreciation costs increased 13% year-over-year due to our continued catalog acquisitions, company administration expenses saw a 20% increase versus the prior year. From an operating performance perspective, in the first quarter, OIBDA increased 38% year-over-year to $9.2 million, while adjusted EBITDA of $10.1 million increased 36% versus the prior year. The increase in OIBDA and adjusted EBITDA was largely driven by strong revenue growth and was partially offset by higher administrative expenses. Interest expense was $4.7 million for the quarter compared to $3 million in the same period last year. Net income for the first quarter of fiscal 2024 came in at approximately $165,000 versus $17,000 in the first quarter of fiscal 2023. This resulted in diluted earnings per share for the quarter of zero. Lastly, our weighted average diluted outstanding share count during the quarter was $65 million. Turning to our segment breakdown for the quarter. Let's look at Music Publishing first. Music Publishing generated revenue of $20.8 million for the first quarter, which represents a 26% increase from the same period last year due to strong growth in digital and performance revenues. Synchronization revenue in the Publishing segment totaled $3 million, resulting in an 8% decrease from the first quarter of last year. Mechanical revenue within Publishing segment posted a 9% increase year-over-year to $600,000. This strong increase in digital revenue in the Publishing segment was largely driven by the higher CRB 4 headline rate of 15.5% in the first quarter of this year versus the much lower effective rate under CRB 2 from last year. This increased rate is having a material impact on our results for the quarter, but as Golnar mentioned, we expect the year-over-year comparison to be muted in the coming quarters since we started accruing under the affirmed CRB 3 rates in Q2 of the prior fiscal year. Our Recorded Music segment continued to deliver strong results in the first quarter, generating $10.4 million in revenue, representing an increase of 37% versus the prior year quarter. all revenue types within our Recorded Music segment, excluding synchronization, delivered year-over-year increases. Growth in the Recorded Music segment in the first quarter was largely driven by strong physical revenue, which increased 176% versus the prior year. Digital and neighboring rights revenue increased 23% and 25%, respectively. The decline in synchronization within recorded music is really a timing issue as sync licenses are not uniform from one quarter to the next. Let's move on to our balance sheet. At the quarter end, our credit facility was at roughly $331.8 million. we closed the quarter with total liquidity of $130.5 million, comprised of $12.3 million of cash on hand and $118.2 million available under our revolver, which gives us the capital to fund our strategic objectives. In terms of total debt, we ended the quarter at $325.8 million, which was net of $6 million of deferred financing costs, and thus, we maintained $313.5 million of net debt. That compares to net debt of $296.6 million as of March 31, 2023. Lastly, I'll note that almost half of our outstanding debt is hedged at a very attractive interest rate, which will limit our exposure to rising interest rates in the coming year. Let's shift gears to our outlook for fiscal 2024. We are maintaining our previously stated revenue guidance range of $127 million to $132 million, which represents a 6% increase versus fiscal 2023 at the midpoint. We are also maintaining our adjusted EBITDA guidance range of $49 million to $52 million, which implies 9% growth at the midpoint. I want to note that we continue to make progress on mitigating the cyclicality from our semiannual payments in fiscal 2024. I would also note that our quarterly spread of revenue relative to the prior year may be affected by the CRB 3 accrual that we made in Q2 of fiscal 2023, whereas we don't expect to make any true-up for the final resolution of that retroactive adjustment until Q4 of 2024 at the earliest. Throughout fiscal 2024, we will continue to execute upon margin accretive deals while staying prudent with our capital deployment strategy. Our financial profile remains strong, and our business continues to deliver highly predictable cash flows. We have a clear plan to achieve our provided top line and profitability guidance ranges with room for potential tightening as we progress through the year. We look forward to updating you on our progress at the end of the first half of fiscal 2024. With that, I'll now pass the call back to Golnar.
Golnar Khosrowshahi: Thank you, Jim. As you can see from our first quarter results, we are progressing nicely toward our financial targets for the fiscal year. We have expanded and enhanced our roster, which continues to add both scale and diversification and will ultimately insulate our business to perform well through market cycles. Demand trends we are seeing across streaming platforms for the consumption of music digitally remains encouraging, and we are well positioned to continue to benefit. As we look toward the remainder of fiscal 2024, we will continue to take a disciplined approach to capital deployment, which will drive not only top line growth but also margin expansion. We are excited for the future Reservoir. We appreciate your continued support, and we look forward to sharing our continued progress with you. With that, we will now open the line for questions.
Operator: [Operator Instructions] Our first question comes from Alex Fuhrman from Craig-Hallum Capital Group.
Alex Fuhrman: It looks like a really strong flow-through to earnings that we saw in the first quarter. Strong, strong performance across the board. Anything in particular that's really been helping to drive the margin performance? And then as we look out over the next couple of years, can you talk about how some of the price increases that we're starting to see from streaming services, how that could impact your revenue and your margins looking out over the next few years?
Jim Heindlmeyer: Sure. Alex, it's Jim. So with respect to the flow through to our adjusted EBITDA margin, the expansion that we're seeing there, that's something that we anticipated. We have over the last couple of years, talked about the operating leverage that is present in our business. it's been a little bit hard to see in the past couple of years as we've had public company costs in one period, not in the prior year period that's being compared. So I think that as we move forward and as we see in this quarter, we expect that margin expansion and we expect to continue to see that margin expansion as we move forward. With respect to the second part of your question around the price increases, we are certainly encouraged by the latest announcement from Spotify. We had the price increase from Apple last year, Amazon earlier this year. And all of those price increases really will impact our revenue on a pretty linear basis. In other words, a 10% price increase at a streaming service will flow through to us at around 10% increase to our pool of that money, and we are encouraged by that and looking forward to it starting to flow through our revenue in the coming months and quarters with respect to Spotify.
Alex Fuhrman: Great. That's really helpful. And then just more broadly in terms of emerging market. Looks like another investment here in the quarter in the Middle East, where you already have a pretty meaningful presence. Do you see a lot of continued opportunity for M&A in the Middle East and emerging markets more broadly? And when could emerging markets really start to more significantly drive earnings growth?
Golnar Khosrowshahi: Alex, this is Golnar. We consistently see opportunities in the Middle East. We have a pretty healthy pipeline of deals to do there, and I don't see that slowing down anytime soon. So I would say that, that's really -- the deal pipeline there is as robust as the sort of macro deal pipeline that we have. I think that we're certainly a few quarters out, if not more, to see meaningful results there as far as our own numbers go. But this is all investments based on anticipated future growth that really will mirror other emerging markets as we have seen happen in the past. So being a content owner and well positioned to take advantage of this growth is the strategy that we have deployed and one that we believe will materialize positively.
Operator: And our next question comes from Richard Baldry from ROTH.
Richard Baldry: I wanted to have to dig a little bit more into seasonality because Q1 was far above where we would have expected results to be and you're holding guidance intact. So -- and I understand tougher comparisons, but we look back historically, there's been more true-ups to accruals in Q2, Q4 that tend to seasonally strengthen them pretty meaningfully from Q1 trees. Is anything changing in there that does smooth that out that leaves you holding here? Or do you think you're just being incrementally conservative at the start of the year?
Jim Heindlmeyer: Sure. How are you doing, Rich? So I would say that with respect to our cyclicality of earnings. We've touched on this in our last few earnings calls about how we have been refining our accruals to have the effect of smoothing those earnings a little bit so that the spikes that you mentioned in Q2 and Q4 are not as significant and the valleys in Q1 and Q3 are not as low. I think that what we're seeing now in the first quarter is the result of a lot of those improvements that we have made in that process. We still expect to see bumps in Q2 and Q4 as we true up those accruals to those significant semiannual payments that come in, in the September and March period. But I think that with respect to a very strong Q1 and the fact that we are holding guidance where we previously announced, that's really reflective of our view of being a bit conservative, wanting to see where the first half of the year falls out before we really revisit guidance for the year. We're thrilled with our results in Q1, and we kind of look forward to to updating everyone further and revisiting guidance when we get to our September quarter.
Richard Baldry: And to the extent -- you've seen any changes on the funding environment with your adjusted EBITDA scaling past our expectations already. Do you still feel good about the availability of incremental credit you were hearing in the broader market, of course, some of the banks are pulling back on on what they're willing to lend. In terms of your own relationships, do you have any concerns there? Or still feel that your executions keeping people willing to sit at the table and increase your availabilities?
Jim Heindlmeyer: Yes. We're very comfortable with where we are with our credit facility. We have very strong relationships with all of the banks in our syndicate, especially through us to lease that syndicate. They have been -- the entire group has been very supportive of us, and we don't have any reason to believe that won't continue. And having said all of that, we're also in a very good position with respect to our current facility and availability that we have under that facility even without any further expansion of it at this point. So we feel very good about where we are with respect to our access to capital.
Richard Baldry: Maybe tie on to that. How do you feel about the M&A pipeline overall to? I think you asked this every quarter, but with things getting macro, looking like it's getting a little darker out there, have you seen any changes in people's expectations, the amount of deals in the pipeline that you're able to look at? Just any color around that?
Golnar Khosrowshahi: Sure. It's been pretty consistent. I'd say we have about a $2 billion pipeline, which is give or take around where we have been in the past quarters that we've reported. We are not really seeing contraction on pricing, and I think that's just because there are high-quality assets in the market with pretty compelling data around future growth and a lot of capital. And so that's not really helping reduce prices significantly. We continue to execute on a lot of off-market transactions as we have in the past, and our relationship certainly help us do that, but we are -- we continue to see very robust deal flow. So that's a good position to be in.
Operator: [Operator Instructions] And our next question is from Dan Day with B. Riley Securities.
Dan Day: Questions. Just to go back to the impressive growth on the digital music publishing revenue. I appreciate impacts with the step-up from CRB to 4. the y I understand that. I think I understand the price hikes for the DSPs. Just anything outside of the DSDs, some of these kind of emerging digital channels that are starting to be material or making an impact on growth yet? Or is that still kind of future upside you're thinking about?
Jim Heindlmeyer: Well, I think that we have a number of other partners on the digital front that arengful. I mean that includes Peloton, it includes YouTube, there's a number of partners that we have there and we continue to see strong results from all of them. we're encouraged by those relationships that we have. And our digital licensing team is always looking at new opportunities there as well. I can't say that there's a particular kind of new entrant in the last quarter that was meaningful, but we see strong results across the board from all of our existing partners.
Alex Fuhrman: The zinc side. I know a lot of it is related to kind of use copy rates and films. So just any issues with the pipeline there with the writers and access rates or riding sale-making for the next couple of quarters to help line for -- so we're not.
Golnar Khosrowshahi: We're not seeing that impact yet. The strike effect film production and the associated music licensing that goes hand-in-hand with that. We don't have an estimate yet on that impact. We're not in a position to really have a view on when the strike will end. What we do know is that the advertising placement business right now remains strong, and we're able to pivot our team to mine those relationships as well as expanding our reach into other areas. The trailer business continues to remain strong, but it's certainly something that we have our eye on and depending on it when the strike and the impact will vary based on that.
Alex Fuhrman: Me, just any -- is there a hard target you have that maybe you wouldn't want to exceed on that net debt to EBITDA, whether it's on a trailing basis on an expected forward basis. I mean, you're over 6 tons on a trailing basis, which is unreasonable for a business of the study, but just wondering how high you'd be willing to ratchet up that, like that.
Jim Heindlmeyer: Yes. It's an area where we are very focused. We we'll actively look to manage that leverage ratio even though it's not part of our debt covenant any longer. It's an important metric that we look at for the business. And it's something that we will continue to manage. We are aware that while kind of a 6x leverage ratio may not be an uncomfortable place for us to be given our recurring cash flows are the highly predictable cash flows that we have in our business. We are well aware of the perception in the public market of a leverage ratio that's at that level. And it's something that we will continue to manage as we move forward.
Operator: And I am showing no further questions. I would now like to go ahead and turn the call back over to Golnar for closing remarks.
Golnar Khosrowshahi: Thank you, operator. Our performance in the first quarter is indicative of both the strength of our team at reservoir and the quality of the assets that we have assembled. Thank you for joining us this morning, and we look forward to updating you on our progress on our next call.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.